Operator: Good day, ladies and gentlemen and welcome to the Quarter 3 2013 Huntsman Corporation Earnings Conference Call. My name is Matthew, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. And now, I'd like to turn the call over to Mr. Kurt Ogden, who is Vice President of Investor Relations. Please proceed, sir.
Kurt D. Ogden: Thank you, Matthew, and good morning, everyone. Welcome to our third quarter earnings call. We are dialing in from a remote location, and so hopefully the sound quality is okay. Joining us on the call today are Jon Huntsman, our Founder and Executive Chairman; Peter Huntsman, President and CEO; and Kimo Esplin, Executive Vice President and CFO. This morning before the market opened, we released our earnings for the third quarter 2013 via press release and posted it on our website, huntsman.com. We also posted a set of slides in our website, which we intend to use on the call this morning in the discussion of our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements. And while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. In addition, we will also refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income or loss. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted on our website at huntsman.com. Let's turn to some highlights on Slide #2. In our earnings release this morning, we reported third quarter 2013 revenue of $2,842,000,000, adjusted EBITDA of $376 million and adjusted earnings per share of $0.54 per diluted share. I will now turn the call over to Peter Huntsman, our President and CEO.
Peter R. Huntsman: Thank you, Kurt. Good morning, everyone. Thank you for joining us. Let's turn to Slide #3. Adjusted EBITDA for our Polyurethanes division in the third quarter 2013 was $215 million. This compares favorably to the prior year's adjusted EBITDA of $243 million, considering the extended force majeure at our European MDI facility, which had a negative impact of approximately $10 million in the third quarter of 2013 and the approximate $30 million of nonrecurring PO/MTBE benefit from the industry supply outages in the third quarter of 2012 that we identified last year and last quarter. After these unusual events, our earnings this quarter would've reflected an increase of approximately $12 million compared to the prior year. On August 29, 2013, we announced the completion of the acquisition of Oxid, a privately held manufacturer and marketer of specialty urethane polyols. We're very excited about this business and expect it to contribute approximately $15 million to $20 million of annual adjusted EBITDA. Excluding the impact of the force majeure outage, our MDI volumes grew at approximately 9% globally compared with the prior year. Within the quarter, we saw double-digit growth in 2 of our largest end market, insulation and composite wood products. We expect continued strong demand in the Americas and Asia, with Europe showing modest growth, driven by a recovery in our insulation end market. We combined propylene oxide-based polyols with MDI to create specific polyurethanes system solutions for our customers. In the U.S., we manufacture our own propylene oxide. MTBE is a coproduct of our manufacturing process. PO/MTBE earnings in the third quarter decreased $30 million compared to the prior year, primarily due to the approximate $30 million of nonrecurring benefit from industry supply outages in the third quarter 2012. Recently, we've seen a moderation in MTBE margins. Butane prices, which are key raw material, have increased since we approached the winter driving season in North America. In addition, the price of premium unleaded gasoline, for which the value of MTBE have a strong correlation, had decreased noticeably. At present, relative to last year's fourth quarter, we are seeing a margin squeeze of about $0.30 a gallon on 65 million gallons we expect to sell in the fourth quarter of this year. Let's turn to Slide #4. In the third quarter, our Performance Products division earned $122 million of adjusted EBITDA, an increase of $13 million compared to the prior year period of $109 million. Following the successful first quarter maintenance shutdown of our olefins and ethylene oxide facility in Port Neches, Texas, we're seeing improved production yields which, together with lower ethane, have lowered our manufacturing costs. During the quarter, we saw strong demand in Europe and North America from maleic anhydride. We believe our butane-based process is economically advantaged compared to others that consume benzene. In addition, we believe we benefit due to some industry outages that occurred during the quarter. Our amines business continue to recover. We saw an improvement in sales volumes and margins in the third quarter of this year. We expect this trend to continue. We have seen increased margin pressure on the part of our European surfactant businesses that serve the home and personal care markets. On October 1, we announced plans to restructure this business and focus on more differentiated chemistry. We expect to be completed with these initiatives by the end of 2014, with an annual EBITDA improvement of approximately $20 million. Let's turn to Slide #5. Adjusted EBITDA for the third quarter of our Advanced Materials division was $39 million, an improvement of $8 million compared to the prior year of $31 million and an improvement of $7 million compared to the prior quarter of $32 million. Earlier this year, we announced restructuring efforts within this business to improve efficiencies and increase our global competitiveness. We are now seeing the benefit of these efforts. Our results this quarter are the first time in multiple years where we've seen back-to-back sequentially improving quarterly earnings. I'm very encouraged by the momentum within this business, particularly when I consider the majority of our estimated $70 million savings program are yet to be realized. We are preferentially walking away from certain low-margin business, most noticeably in the basic liquid resin market, where conditions continue to be oversupplied or weak. In response, and in order to rebalance our internal material needs, we are closing our Spanish and Indian basic liquid resin-producing facilities by the end of this year. Although our sales volumes decreased 15% compared to the prior year, the majority of this decrease was attributed to basic liquid resin, which decreased 26%. Conversely, volumes have been growing at double-digit rates in our Aerospace business. And although it comprises only 10% of our total revenue, it has our largest -- it has our highest margins and make up approximately 20% of our earnings. Let's turn to Slide #6. Our Textile Effects division reported adjusted EBITDA of $8 million in the third quarter, an improvement of $17 million compared to the prior year's loss of $9 million. Our restructuring efforts in this division have been focused on improving our sales profiles through market share gains and improving margins as well as lowering our fixed costs. During the quarter, our sales volumes grew 6% compared to the prior year, driven in large part by above-average growth in key countries that we have been focused on within Asia and Eastern Europe. More than half of our sales are generated in Asia, where we saw double-digit growth compared to the prior year. Our fixed costs decreased compared to the prior year as a result of our restructuring efforts that will be completed by the end of this year. We successfully finished production in our facility in Switzerland during the third quarter, while maintaining excellent environmental and safety performance throughout the transition phase. We will decommission the facility in the fourth quarter. We expect to capture approximately $25 million of incremental annual run rate savings next year. Let's move on to Slide #7. Our Pigments division earned $36 million of adjusted EBITDA in the third quarter. Sales volumes improved 20% compared to the prior year as demand improved in all regions. Compared to the prior quarter, our sales volumes decreased as we experienced production issues resulting from the ramp up of production rates to meet current demand. We estimate the EBITDA impact on the third quarter this year was approximately $4 million. We believe our restructuring efforts, known as Project Transform, are having a positive impact on our sales portfolio and cost structure. We have successfully contained inflationary pressure on our fixed costs, which were flat during the quarter compared to the prior year. In addition, our ability to use low-cost feedstock ores, such as sulfate slag and ilmenite, in approximately 75% of our production capacity provides a structural cost advantage, as the cost of higher quality ores remains elevated. We expect this advantage to remain for several years. Our inventory days were approximately 45 days at the end of the quarter, which is normal for this time of year. We believe the industry is closer to 65 days at the end of the quarter. On September 17, we announced an agreement with Rockwood Holdings to acquire their Performance Additives and Titanium Dioxide businesses for $1.1 billion in cash and the assumption of unfunded pension liabilities estimated $225 million. We expect to close off the transaction in the first half of 2014. With improving market conditions and pro forma synergies in excess $130 million, we believe this acquisition will add significant shareholder value. Before sharing some concluding thoughts, I'd like to turn a few things over to Kimo Esplin, our Chief Financial Officer.
J. Kimo Esplin: Thanks, Peter. Let's go to Slide 8. In the third quarter of 2013, our adjusted EBITDA decreased $35 million to $376 million from $411 million in the prior year. We experienced 2 meaningful headwinds in the quarter that obscure the tremendous improvements in our underlying business. First, our Pigments division, which has been going through an industry-wide destocking cycle, decreased $39 million compared to the prior year. This was most evident in the decrease of our average selling prices, where Pigments decreased 24% in local currency terms. It's worth noting, however, that we have now seen sequential quarterly stabilization in our Pigments division selling prices. Second, within our Polyurethanes division last year, we enjoyed the benefits of approximately $30 million of PO/MTBE earnings [ph] that were attributable to nonrecurring industry supply outages. Compared to the prior year, we saw an increase in our raw material costs, which is reflected in the Direct Costs column on the chart. The headwinds were partially offset by an increase in sales volumes and lower fixed costs of $37 million as a result of our restructuring efforts. Compared to the prior quarter, our adjusted EBITDA increased $72 million from $304 million. As noted in our press release this morning, all of our divisions improved compared to the prior year. Most of the increase was attributable to lower raw material costs, as direct costs improved $57 million. Continued sequential restructuring benefits of $13 million in both -- in lower fixed costs, as well as improved sales volumes, also lifted our earnings Slide 9. Our year-over-year consolidated sales revenue for the third quarter increased 4%. This was primarily due to an improvement in our sales volumes of 7%, partially offset by a decrease in average selling prices of 3%. Regionally, our Rest of World category, which makes up 20% of our total revenue and is primarily comprised of Latin America, the Middle East and Africa, saw sales revenue increase of 14% despite the fact that Brazil was down 6%. Asia-Pacific and Europe each grew 3%, partially offset by the 1% decrease in North America. The decrease in North America was primarily attributable to lower PO/MTBE selling prices, where last year's price was unusually high as a result of industry supply outages. Our Polyurethanes businesses is our largest and made up 45% of total revenue in the third quarter. MDI revenue increased 8% and more than offset lower PO/MTBE prices. Performance Products and Textile Effects both saw attractive growth, whereas we preferentially walked away from low-margin business in Advanced Materials. And Pigments is going through an industry destocking cycle. Compared to the prior quarter, sales revenues were flat, and increased average selling prices were offset by sales mix effect. Sales revenue was flat to up in our large divisions, Polyurethane and Performance Products, which represent more than 70% of our total revenue. Let's go to Slide 10. We spent $114 million on capital expenditures in the third quarter of 2013 and $295 million in the 9 months ended September 30. In 2013, we expect to spend approximately $450 million on capital expenditures, which approximates our annual depreciation and amortization. On average, our annual maintenance capital expenditures are approximately $150 million. However, this year and next, we expect it to be between $175 million and $200 million as we update process safety systems at our largest facilities. In our review of discretionary capital expenditures, we look for projects with unlevered internal rate of returns in excess of 20%. We summarized for you on this slide some of the projects that are underway and we've been investing in. In polyurethanes, we've been investing in an MDI expansion in the United States. And in Europe, we've increased our capacity to further derivatize the MDI molecule downstream. We've also leveraged our PO/MTBE expertise in technology and partnered with Sinopec to build a joint venture PO/MTBE facility in China. One of the largest projects we've been going -- we have going on right now is an expansion of our ethylene oxide capacity in the United States, which will allow us to maximize underutilized ethylene oxide derivative capacity existing already at Port Neches, Texas plant. Within our Performance Products division, we also plan on adding additional polyetheramine capacity in Singapore to meet growing demand in the Asian region. Within Advanced Materials, we're expanding our ability to produce multi-functional resins in the United States. These high-performance specialty resins are used in composite materials in the aerospace and other high-value markets. Our capacity will ramp up with increased demand for these strong, lightweight materials. In our Textile Effects business, we have migrated our production out of Europe and into Asia. We're expanding our production capabilities in Thailand to meet this shift in regional production. Large projects within our Pigments business are focused on improving our manufacturing and production efficiency. In France, we're using byproduct from the manufacturing process to convert what would otherwise be waste into magnesium sulfate and sold into the fertilizer market. In Italy, we're increasing our ability to consume low-cost ilmenite ores. Combined, we expect these projects to have an approximate $190 million EBITDA impact. Let's turn to Slide 11. Our adjusted effective income tax rate for the third quarter this year was 39%. During the quarter, we experienced higher earnings in the United States and losses in certain European countries, where we don't enjoy the benefit into tax valuation allowances. We expect our fourth quarter and full year tax rate to be approximately 36%. We expect our long-term effective income tax rate to be approximately 30% to 35%. At the end of the quarter, we have a little more than $1 billion of cash at unused borrowing capacity. We've made meaningful improvements in our working capital investment. During the quarter, our primary working capital decreased, providing a source of $121 million of cash. We expect the full year 2013 primary working capital to be a cash flow positive. As it relates to the pending acquisition of Performance Additives in TF [ph] to the business of Rockwood, which was announced on September 17, we have been making good progress in a number of areas over the past 6 weeks. This includes the following: We have secured certain amendments to our senior secured credit facilities and have successfully completed the syndication of a new $1.2 billion 7-year term loan and $200 million increase in our revolver that was funded -- will be used to finance the cash purchase price of $1.1 billion. S&P and Moody's have concluded their review of the acquisition on Huntsman's credit profile and have confirmed Huntsman's corporate credit rating of the existing BB and Ba3 levels, respectively. We are fully engaged with competition law regulators in both United States and EU as they begin their process of reviewing proposed combination. We have begun detailing -- detailed planning around the transition of the business from Rockwood ownership to Huntsman ownership, with the goal to accomplish this as smoothly and efficiently as possible in order to put Huntsman in the position to capture the synergies that have been identified. We are committed to closing the transaction with Rockwood as soon as possible. However, the exact timing is still somewhat uncertain given the nature of the regulatory approval process. We expect to close on the transaction sometime in the first half of 2014. With that, we'll turn it back over to Peter for some concluding remarks.
Peter R. Huntsman: Thank you, Kimo. I believe that the underlying quality of earnings in the third quarter were exceptionally strong. A year ago at this time, our Textile Effects division lost $9 million of EBITDA. This past quarter, thanks to lower cost and stronger sales, we improved EBITDA by $17 million. Our Advanced Materials business have seen continued downward pressure on its commodity products. Yet, we saw a year-over-year EBITDA improvement of $8 million, as we cut costs and push downstream formulated and specialty systems. Our Performance Products division had the strongest quarter in its history, earning $122 million of EBITDA. While we are seeing very strong results in our maleic anhydride business, I still see plenty of upside, as the means continue to improve. This past month, we broke ground on our ethylene oxide expansion that will make our Port Neches, Texas facility the largest North American ethylene oxide facility, allowing plenty of growth in the years to come. With our European MDI force majeure behind it, we continue to see strong growth and margins in our MDI business. In fact, the results of our combined non-Pigments divisions are as strong as they've ever been. Having said that, we still have plenty of opportunity to improve our earnings, even in the sluggish global economy. While we cut over $100 million in costs, by the end of next year, we will have an additional $140 million in EBITDA as a result of our restructuring -- ongoing restructuring efforts. We continue to see our Pigments demand improve, industry conditions continue to get better, and I believe that we are positioned to see strengthening market conditions. During the third quarter, we announced the acquisition of Rockwood's Performance Additives and Titanium Dioxide businesses. Having had a chance to visit additional sites and to meet with more associates, I believe that we are buying this business at the right time. I further believe that the $130 million in synergies that will come from combining our businesses will make a strong and value-creating company. Looking ahead, we expect to see the usual fourth quarter seasonal slow down as it typically impacts our EBITDA by approximately 25% in the fourth quarter compared to the third. That being said, we continue to see better than GDP growth in most major markets around the world and see continued opportunity to further create shareholder value. With that, I'll turn the call back over to Kurt in question and answers.
Kurt D. Ogden: Thanks, Peter. Matthew, that concludes our prepared remarks. Will you explain the procedure for questions and answers, and then open the line?
Operator: [Operator Instructions] And your first question comes from the line of P.J. Juvekar of Citi.
P. J. Juvekar - Citigroup Inc, Research Division: How much inventories do you have -- ore inventory do you have from -- under ore contracts? And is there another tranche of ore contracts that will expire at the end of 2013?
J. Kimo Esplin: P.J., the legacy ore contracts really expired at the end of 2012 and really sort of carried over with inventory -- have, for the most part, all been consumed. So, really, they were consumed in the third quarter. I think you'll see in the fourth quarter, our average ore costs won't move very much simply because ore prices have dropped pretty close to where those legacy ore prices were priced at. So there won't to be much of a change in terms of our cost structure.
P. J. Juvekar - Citigroup Inc, Research Division: Okay. And secondly, on MDI, can you just review the supply-demand balance, and tell us what your view is on this MDI expansion in China?
Peter R. Huntsman: Well, we're a bit premature to announce anything in China. I think that we continue to make meaningful progress in the approval process. But I don't want to get ahead of Chinese authorities and where we expect to come out there. But we certainly are expecting to have a new facility online sometime by the end of 2017. This is going to put some strain on our overall global demand fixture and that we are, today, essentially sold out. I think that we do have an opportunity to increase prices in the coming years and increase bottom slice, perhaps, our less profitable customers and products and upgrade. The recent maintenance work that we did in Rosenberg added the ability to split more MDI and to upgrade the quality of the MDI that we're producing. So going forward, I would expect MDI, as we look into 2014, to continue to tighten. I think that industry rates today are around 90%. I will tell you that it might be a little less than that. And Europe, it would certainly be tighter than that in Asia, at least for us. And in North America, so -- but as we go forward, again, I want to emphasize that we want to put as much emphasis on the margin per ton and our ability to take that MDI further downstream and to create more value on a per ton basis, because, I think, that as we look at the outyear, the '15, '16 going to '17 fill, and then capacity starts out. We're going to have more of an opportunity to increase the value, the tonnage we have rather than adding a lot of new tons.
Operator: Your next question comes from the line of Bob Koort of Goldman Sachs.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: If you could give us some data that might help us figure out the progression of Pigment earnings as you go through 2014? Specifically, can you give us some sense of how variable operating rates were through '13 -- through the quarters in '13? And then, secondly, can you give us some sense of what you'd expect on spreads for TiO2? So I recognize higher rates will give you better fixed costs, but what would your -- be your expectation on price versus cost looking into '14? And then how quickly do ore contracts move relative to the past few years? Would we expect a coincident effort by your suppliers to gain any price that you might see in the Pigment markets?
Peter R. Huntsman: Well, I think that the majority of our pigments -- I'll start with the back end of that question and maybe let Kimo answer on the front end of the question. I think with the ore contract, we envision ilmenite ore and ilmenite slag -- sulfate slag to remain pretty stable in pricing, if not over the course of next quarter to have a bit of downward pressure on the pricing. Conversely, in the rutiles in the higher end ores, I would imagine those pricing will probably stay pretty constant, if not have upward pressure on some of those ores. So I don't foresee as much volatility in our ore prices over the next 2 years as we've seen in the last few years.
J. Kimo Esplin: Bob, when you think about sort of the progression of our utilization rates, and I'm sure they would sort of reflect the rest of the industry, we really began the 2012 calendar year operating in the high 80% range. And then, really, in the second half of the year, that drops in mid-to-low 70% utilization rates. The first half of 2013, we ramped up to mid-80% range. And I think in the third quarter of 2013, I'd say our utilization rates are in the high 80s, between 85% and 90%. So you can see the progression of inventory destocking, as Peter mentioned earlier. We actually brought our inventory down so far that we missed some sales in the third quarter, with roughly 42 days of inventory. So that's good news and bad news, right? We have pretty good inventory situation. We just need to ramp up our plants a little harder.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: And just to qualify -- or clarify, did you suggest in the fourth quarter there was a year-on-year MTBE margin compression hit of around $20 million? Is that what I heard?
Peter R. Huntsman: From what we're seeing today, Bob, I think that's spot on. We may have missed one of your questions there, Bob. Was there one we didn't get to?
Robert A. Koort - Goldman Sachs Group Inc., Research Division: I think that was only just asking what you might expect on the price cost spread as you go through '14 on TiO2. In other words, there seem to be plenty of price initiatives. I think you answered that your cost side will be pretty static, so maybe you did answer it.
Peter R. Huntsman: I think that our cost -- we would expect our cost to be pretty stagnant. We'd expect our operating price could be tightening. And we are very aggressively -- we publicly have announced an October to January price increase. And we're going to very aggressively pursue these increases. I would certainly expect by the end of next year that the market should be tight enough that we would be able to get some price increases throughout the year.
Operator: Your next question comes from the line of Kevin McCarthy of Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Peter, could you comment on the outlook for epoxy resins? You mentioned you're rationalizing capacity in Spain and India, I think it was. One of your competitors looks like they're exploring strategic options for the business. How do you see the next year or 2 unfolding in terms of utilization rates? And when do we start to turn the corner on volumes?
Peter R. Huntsman: Yes. I guess, I'm not overly optimistic on the DLR [ph], the commodity bulk end of the business. I would've hoped it would've turned around long before now because we're just seeing so much capacity to market. That's why we're taking steps to rationalize our earning capacity. We have been successful over this past year of shutting capacity down in Spain and in India. And we continue to look at the competitiveness of our other capacity that we operate internally. So we would want to be in a position when we're supplying ourselves, or that we're able to purchase. And in some cases, in Europe, I believe that our economics are such that we're able to manufacture our own epoxy raw materials to be able to supply our own needs. And in Asia, we actually can produce -- we believe we can actually buy -- excuse me, epoxy is cheaper than we can produce. And in North America, we'd want to see that evaluation right now. I think longer-term, our focus is better spent to focus not on the upstream side of the epoxies but downstream, in the formulation, the systems, looking at the fast-growing and the growth that we see in the epoxy business. So when we talk about the epoxy business, I know that that's a phrase that's thrown around a lot in our industry. We've got some competitors that talk to their epoxy business and so forth. We're actually getting out as much of the commodity side as we can and moving our focus and moving our cost structure and our alignment to further downstream applications where we continue to see significant growth and opportunity for margin expansion.
J. Kimo Esplin: Kevin, the capacity we've shut down represents about 1/3 of our total basic liquid epoxy resin globally.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay, that's helpful. And then shifting gears to Performance Products. Can you give us a sense of how the incremental restructuring benefits will flow through over the next several quarters? I think you mentioned $20 million of EBITDA? What does the cadence there look like? And what are the associated cash costs?
J. Kimo Esplin: Well, because we're either divesting or shutting down 2 facilities and parts of 2 others, you're really sort of get the benefit all in one shot. So we think that run rate, we'll enjoy at the end of 2014.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: And then final question for Kimo, if I may. What is your expected cash contribution to the pension plan looking ahead to 2014?
J. Kimo Esplin: Sure. We will -- that's just about what we did last year and this year. It's pretty consistent, about $150 million of cash. That is pretty consistent over those 3 years, roughly $150 million. That includes that piece of expense and over and above expense and cash cost day [ph].
Operator: Your next question comes from the line of Hassan Ahmed of Alembic Global Advisors.
Hassan I. Ahmed - Alembic Global Advisors: Peter, you guys have identified a series of growth projects kicking in, in 2014. And then on top of that, obviously, there should be some accretion from -- on the back of a variety of cost-cutting measures. My question was more around raw material prices. Obviously, butane prices have come down a fair bit as have benzene. How should we be thinking about sort of potential tailwinds from there as we look towards 2014?
Peter R. Huntsman: Yes, I think that you make a good point here. I think that when we look at -- it's a growth prospect, kind of, where we're going. Hassan, I think that if you look at Slide #10, we showed -- as you pointed out, $190 million in the next few years, relative short period of time. $190 million of annual life EBITDA is coming from this. This is in addition to the $140 million of further internal cost cutting that we have -- it should be realized by the end of [ph] next year. And that's in addition to what we believe will be in excess of $130 million dollars of what we will be able to get out from the Rockwood acquisition. That's at over $450 million of improvement in EBITDA that I would say fall into the category of self help and things that we can control. And I don't know if we put as much emphasis on that as we should. I think if anything comes from this call, it would be in a sluggish global economy. We see real tremendous opportunity. On the other hand, the impact at raw material prices, I can't look into 2 or 3 buckets, if you will, of raw material. Our biggest block of raw materials that we buy are natural-gas-related products. That would be methane, ethane, butane and the corollary natural gas that goes with that, that we've earned in our cogeneration facilities, our ethylene production and so forth. So as we look at that, I think that when we look at the "North American shale gas advantage," I believe that that's probably going to remain somewhere between $3 and $4 for MMBtu range for the foreseeable future. As we look at the other kind of bucket of, I would say, heavier raw materials, that would be benzene prices and so forth, I'm not sure that I -- that that's going to be volatile. But I don't see that price really changing a great deal outside of the bandwidth spent over the last 2 years or so. And then the third bucket, I will see [ph] of the major materials that we're purchasing, would be the pigments that we saw -- that we've seen over the last couple of years. I just said, I believe that given the 75% of our Pigment acquisitions -- excuse me, our ore acquisitions, are ilmenite or sulfate slag, I believe that those prices are going to be relatively stable over the course of the next 2 to 3 years. So I believe that we have a fairly stable raw material environment going forward. Now I say that just as something may happen in the Middle East or something, obviously, but I mean, as far as the macroeconomic issues, I think that we've got an excellent opportunity to take advantage of relatively stable U.S. GAAP prices, stable ore prices and relatively stable heavier liquid prices which make up the vast majority of our raw materials. And where we take advantage of these $450 million of self-help expansion projects and synergy projects that we have coming on over the next 18 months or so. So I hope that answers your question there.
Hassan I. Ahmed - Alembic Global Advisors: It does, indeed. And just to follow up on the polyurethane side of things, Peter. Nice sequential tickup in EBITDA margins, the 16.5%. Now you obviously talked about MDI tightening through the course of 2014. I mean, could you just give us some sort of sense of how much more upside there possibly could be in polyurethanes EBITDA margins or MDI EBITDA margins in sort of 90-plus percent operating rate environment?
Peter R. Huntsman: Well, I'm always reluctant to try to call it a peak or a valley. So it's not like I would say that if we go back to kind of the last peak, sort of economics that we saw, the last margins that we saw in urethane, I think that we were earning about $700 million-ish dollars, kind of an annualized sort of a number. And if I take that margin, then I put it over the $740 million in 2005. And if I look at that same margin, that 22% EBITDA margin and over the volumes we have today, that's the number that would be exceeding $1 billion just in urethane. So I see substantial upside from where we are today. Now, are we going to hit that and so forth? I'd sure like to see it hit that, but what's going to be more important, I think as we look at over the next 5 years what's really going to be important is creating as much value on a per pound basis, moving our MDI further downstream and making our MDI business a business, is truly a core business. We've got to take some of the volatility out of it that we've seen the last couple of years. I think the best way to do that is just further move downstream, move into more specialty intermediate products and embedded applications where we're going to see higher margins, less volatility. And frankly, less competition.
Operator: Your next question comes from the line of Mike Ritzenthaler of Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: We talked quite a bit last quarter about MDI markets in China, maybe looking a little softer. I know you had touched on this on an earlier question, but it sounds like your view on the fundamentals in China for MDI have changed. Could you elaborate on that a little bit? And perhaps, which end markets have changed your outlook the most?
J. Kimo Esplin: Well, when we look at Asia. I'll just -- I'll take a shot at this. We continue to see a really strong automotive market. And, of course, the insulation side of growth, we're seeing continued strong markets there. So, Asia, it didn't ever get soft, but there was a pause there last quarter, where we looked at it and wondered if we were going to see a general slowdown. But as we came off the end of the quarter, it felt very strong.
Peter R. Huntsman: So we've seen in the Asian market about a 6% year-over-year increase. I would just note that last year at this time, we had exceptionally strong MDI markets in Asia, one of our largest competitors there have some manufacturing problems, and their plant was out. We were selling everything we could a year ago that we could get our hands on, everything that we could resell, everything we could move in from the U.S. A year ago, markets were extremely tight in Asia. And so growing at 6% over that while [ph] a year ago, I think that that was unusually strong market a year ago. And so while 6% may not be the $0.09 or $0.10 growth, I think compared to where we were last year, I am more bullish today of Asian, particularly Chinese MDI demand, than I would have been a quarter ago.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes. And then we don't spend a lot of time discussing Textile Effects but volume growth has been pretty tremendous even on difficult comparables. And now this quarter, you're able to follow with a little pricing. Do you see that top line growth sort of leveling off in '14? Or is there still more runway? And I guess, as a follow-up to that, could you discuss how that segment -- how you see that segment fitting into the broader portfolio longer term?
Peter R. Huntsman: Well, I see the segments sitting into the broader portfolio. And when we look at the return on assets, which is very important to us, this [indiscernible] should be a business as a 15% mid-teens sort of return on assets and a 10% sort of EBITDA. Given when we bought the business and how much cash we have tied up in the business, yes, that's going to be a significant value creator. I believe that by the time we're done with our cost-cutting, I believe that the business going forward, that again [ph] room for improvement. We have excess capacity. We've moved and expanded and made more efficient our production facilities in Thailand, in India, in Mexico. And as we look at our business going forward, with many of our competitors having gone through recent sales or through a sales process or through some sort of -- something that we get confidence -- or our customers less in full confidence in the business, we've actually been able to take market share and increase margins at the same time. I think that we are one of the few that are investing in real substantive R&D when we talk about these mills and Bangladesh and some of the environmental and ecological problem, safety issues and so forth in the textile industry. Our products provide a great deal of safety, they provide new formulations. And I think that we're going to continue to see a stronger than GDP and stronger than textile growth in our Textile Effects division. And when I read that paragraph this morning in the script about making $8 million, I almost paused and wanted to read it again. But I thought it'd be a bit cheesy because when we're talking a year or 2, this business was moving in a run rate of $70 million not too long ago. And I think that we're still ways away from being done with our restructuring. I see upside in the business. I see upside with new products. And I think that that business can and will become a real contributor to creating value into company. I would just note here, Kimo, I think at the beginning of this year, you said we will be profitable this year in Textile Effects, so I think you said, "I'll stake my job on that."
J. Kimo Esplin: Probably right, maybe.
Operator: Next question comes from the line of Laurence Alexander.
Robert Walker - Jefferies LLC, Research Division: This is Rob Walker on for Laurence. Thanks for the growth project slides, that's very helpful. Should we read into the fact that your MDI expansion in China is not on the list?
Peter R. Huntsman: No. I think as we want to make sure that we have full approval from the Chinese authorities. And I have all the respect for that process. And one thing that probably wouldn't endear us all that much to the Chinese authorities would be for us to try to presume -- try to assume that we know what they're going to be doing here, so we'll wait for them to give us the green light. We believe that we're making good progress here. And that's a facility that we desperately need. And I talked to them today and they said we'll be getting us [ph].
J. Kimo Esplin: So Robert, if you're modeling that one, that's an investment of about $100 million in roughly $750 million -- $800 million facility. And it's not [indiscernible] financing. But our commitment, our investment, cash investment over 2.5 years, 3 years will be roughly $100 million.
Peter R. Huntsman: And it's a project that would be done sometime near the 2017, so it's aways out there.
Robert Walker - Jefferies LLC, Research Division: Okay. And I guess on the bridge, as you think about for Performance Products, you had the outage this year. You're seeing improvement in the amines market, you're restructuring surfactants. I guess, can help us think about where profits or margins could get to next year?
Peter R. Huntsman: Well, we haven't been giving guidance on the division-by-division basis. I think that if we look at next year, Malaysia is very strong. I'm not very sure how much stronger that will go. But I think that it's well positioned to be able to continue to give material benefit to the division. I think that next year -- by the end of next year, we will see it one way or the other, through a closure or divestiture, we'll see improvements in our European surfactants business. And I believe that again, given the increase in demand and the increase in capacity utilizations that are amines division will continue to improve throughout next year. So all of that taken together, I think that 2014 would be a good year for our Performance Products division.
J. Kimo Esplin: There's no reason to think about this business other than whatever we're going to do this year, plus roughly $50 million that we missed out on the turnaround of the first quarter. The businesses will continue to operate as they have in 2013, plus we get the benefit of not having that turn around.
Peter R. Huntsman: Yes, good point.
Operator: Your next question comes from the line of Frank Mitsch of Wells Fargo.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Kimo, so you stake your job on Textile Effects being positive in 2013?
J. Kimo Esplin: Let's not jump to conclusions. We've got 4 quarters yet here.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Yes, no, exactly.
Peter R. Huntsman: In the fourth quarter call, we'll know what happens.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Please tell me that October trends in Textiles has been very strong. I just wanted to double back on the production issues in the TiO2 side of the equation. Is that behind us? And is the expectation that -- is that related to the France startup? And is the expectation here that given the guise [ph] -- given that you're at low inventory levels, you're going to be ramping up production fairly significantly here in Q4?
J. Kimo Esplin: Well, it's really, Frank, across the board. These plans -- and this really leads to the sort of destocking cycles. They're slow to ramp up. When you're running -- what I say, generally in 2012, we were in the 70% utilization rates, so now we're trying to run this plant at close to 90%, and it's hard to bring them all up. And likewise, sometimes it's not easy to bring it down and slow them down. And that lends itself to increased inventories as well, but it's across the board. It's not specific to the Calais, France plant.
Peter R. Huntsman: Frank, while we're talking about that, I just want to [indiscernible] in my script, I talked about the sales have improved 20% compared to the prior year. Have we been operating -- we talked about the EBITDA impact of the slower operations, have we been operating at capacity where we should've been operating, our sales would've increased by about 25% instead of 20%. I think it's probably more in line with some of the numbers that have been plastered about [ph] from what was reported [ph]. So and then we also -- I would just note that if we look at our inventory levels that we've made mentioned to, this year we're at 45. Last year at this time, we were at 85 days. The industry was at 94 days last year when we're at 65. So certainly, we look at the macroeconomic conditions, it feels like it's heading in the right direction here.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: And I just wanted to follow up. I wasn't sure I understood exactly, the $140 million restructuring program that you have, what percent of that is incremental in '13, and what percent is incremental in '14? And if you could just recap the biggest buckets that's coming from, that would be very helpful.
J. Kimo Esplin: Sure. So, we've announced roughly $240 million in annual benefit in these restructuring programs in polyurethanes, Performance Products, Advanced Materials and Textile Effects. I think we've mentioned that the Performance Products benefits has really pushed that all the way to -- end of 2014 as we considered those 2 specific plans. By the end of the year, we will enjoy the benefit of $130 million run rate in the fourth quarter. That's roughly 55% of the $240 million benefit. Then by the end of 2014, there will be nearly 100% of benefit. Just a little bit of instruction in 2015. But again, these are run rate numbers, and so again, by the end of 2013, we'll be at $130 million run rate, and by the end of 2014, we'll be at just about $240 million run rate.
Peter R. Huntsman: And I think, Frank, if you look at that bridge in Slide 8, it's a pretty helpful slide with year-over-year -- in our quarterly kind of performance. Yes, we're pretty much on track to what Kimo has just said.
J. Kimo Esplin: It's really falling to the bottom line here.
Operator: Your final question comes from the line of Ivan Marcuse of KeyBanc Capital.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: I just have a couple of quick ones. On the Oxid contribution, is $15 million to $20 million -- is that assuming synergies or restructurings? Or is that sort of the run rate that the business has been running at?
Peter R. Huntsman: That's the run rate where we have the first months of financial performance, so strong contributor right out of the gates.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: And then on Advanced Materials business, once restructuring is done and you've closed and exited -- or if you wanted to go, how much of the business would you -- will you gauge will be linked directly or indirectly to aerospace and sort of the higher value industrial markets?
Peter R. Huntsman: It would probably be overall volumes of 10%. And that probably will be closer to 20%, 25% of our EBITDA business.
J. Kimo Esplin: It's actually aerospace. 2 key [ph] aerospace. Of course, the electrical insulation and transmission markets, there are some specialty coating markets. There's several other really high-valued pieces to that, but at the Aerospace, specifically, roughly 10%.
Peter R. Huntsman: I would just say that as we look at Advanced Materials, the first phases of that business improvement is getting your costs straight. The second phase is really around getting your pricing, your products and marketing and sales straight. And I tell you, when we're done with the cost side, I think I foresee it over the course of the next year or so, a real opportunity to continue to push further downstream, looking at new products enter the pipeline, coming to market and so forth. So I don't want there to be a perception that where you cut costs and [indiscernible] materials mean you kind of plateau and that's as good as it gets. That business, I think, has more products and more opportunities a product pipeline going out 2 or 3 years down the road. So as we look at that business going forward, I would certainly look at it from more than just what you get from cutting costs.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: And then my last question, and I apologize if you already answered this, I jumped on late. But if you look at cash flow on Slide 10, how much have you -- on the cash outlay that you're -- for these projects, how much has been spent this year? And how much would you project that, that will be spent in 2014?
J. Kimo Esplin: I'm sorry, Ivan. One more time?
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: On the capital project that you laid out on Slide 10, how much of those -- of the capital outlay has been spent to date? And how much would you expect that sort of the CapEx would be for 2014 on these projects?
J. Kimo Esplin: Yes, of the roughly $500 million, we will have spent, through the end of 2013, roughly $100 million of it. The rest is to come into '14, '15.
Kurt D. Ogden: Okay. Thank you, Ivan, and thank you, everyone for joining us on the call today.
Operator: Thank you for joining today's conference, ladies and gentlemen. This concludes the presentation. You may now disconnect. Have a very good day.